Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cohen & Steers’ First Quarter 2012 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, April 19, 2012. I would now like to turn the conference over to Mr. Sal Rappa, Senior Vice President and Associate General Counsel. Please go ahead, sir. 
Salvatore Rappa: Thank you and welcome to the Cohen & Steers’ first quarter 2012 earnings conference call. Joining me are Co-Chairman and Co-Chief Executive Officers, Marty Cohen and Bob Steers; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler.
 Before I turn the call over to Matt, I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these factors are described in the Risk Factors section of our 2011 Form 10-K, which is available on our website at cohenandsteers.com.
 I want to remind you that the company assumes no duty to update any forward-looking statements. Also, the presentation we make today may contain pro forma or non-GAAP financial measures, which we believe are meaningful in evaluating the company’s performance. For detailed disclosures on these pro-forma metrics and their GAAP reconciliations, you should refer to the financial data contained within our previous earnings releases, each available on our website.
 Finally, this presentation may contain information with respect to the investment performance of certain of our funds and strategies. I want to remind you that past performance is not a guarantee of future performance. For more complete information about these funds, including charges, expenses and risks, please call 1(800) 330-7348 for a prospectus.
 With that, I’ll turn the call over to Matt. 
Matthew Stadler: Thanks, Sal and thank you everyone for joining us this morning. Yesterday, we reported net income of $0.41 per share compared with $0.30 in the prior year and $0.36 sequentially.
 Revenue for the quarter was $63.7 million compared with $54.8 million in the prior year and $59.4 million sequentially. The increase in revenue from the prior year was attributable to higher average assets resulting primarily from net inflows into our sub-advisory accounts and market appreciation. Average assets for the quarter were $43 billion compared with $36.1 billion in the prior year and $40.3 billion sequentially.
 Our effective fee rate for the quarter remained at 54.5 basis points, as a decline in fees caused by a mix shift in sub-advised accounts was offset by an increase in these - resulting from a currency mark-to-market gain.
 Operating income for the quarter was $25.4 million compared with $18.9 million in the prior year and $22.8 million sequentially. Our operating margin increased to 39.8% from 38.4% last quarter. A 140 basis point increase was primarily due to lower compensation to revenue and G&A to revenue ratios.
 Pre-tax income for the quarter was $28.4 million compared with $19.9 million in the prior year and $25.2 million sequentially. Assets under management totaled the record $44.9 billion at March 31, an increase of $3.6 billion or 9% from the fourth quarter. The increase in assets under management was attributable to market depreciation of $4 billion, partially offset by net outflows of $425 million.
 At March 31, our U.S. real estate strategy comprised 48% of the total assets we manage, followed by global and international real estate at 29%, large cap value at 9%, global infrastructure at 7% and preferred securities at 5%.
 Assets under management in institutional accounts totaled $26.6 billion at March 31, an increase of $1.2 billion or 5% from the fourth quarter. The increase was due to market appreciation of $2.6 billion, partially offset by net outflows of $1.4 billion, virtually all of which were from our sub-advisory relationship in Japan.
 Less than half the 1.1 billion of awarded mandates that were referenced on our last call funded during this quarter. Bob Steers will provide an update on the status of these mandates in a few minutes.
 If you annualized first quarter flows institutional accounts had a 21%, decay rate. Our open-end funds had assets under management of $11.6 billion at March 31, an increase of $2 billion or 20% from the fourth quarter. The increase was due to market appreciation of $1 billion and net outflows of $930 - net inflows of $938 million. If you annualized first quarter flows, open-end funds had a 39% organic growth rate.
 Assets under management in our closed-end funds totaled $6.7 billion at March 31, an increase of $409 million or 7% from the fourth quarter, the increase being result of market appreciation.
 As a reminder, the last page of our earnings release contains a schedule of assets under advisement, which include model-based strategies, exchange traded funds, and unit investment trusts. Fees associated with these assets are included in the statement of operations under the caption portfolio consulting and other income.
 Model-based strategies, which more than doubled from the fourth quarter include assets from the major U.S. wirehouses, as well as Daiwa, who contributed the majority of the increase. So, although, we recorded overall net outflows in assets under management for the quarter our fee generating assets, which includes asset under advisement had overall net inflows.
 Moving to expenses. On sequential basis expenses increased 5%. The increase is primarily due to higher employee compensation and benefits, distribution and service fees and G&A. The compensation to revenue ratio for the quarter was 34% and consistent with the guidance we provided on our last call. The sequential increase in distribution and service fee expense was in line with the increase in the average assets of our open-end no-load mutual funds, and the increase in G&A was slightly lower than the guidance we provided on our last call.
 Non-operating income included the consolidated results for three of our seed investments. So essentially, the sequential change in non-operating income was due to a higher net gain from the seed investment in our long-short real estate hedge fund, partially offset by a currency mark-to-market loss.
 Turning to the balance sheet, our cash, cash equivalents and investments totaled $174 million compared with $184 million last quarter. Our stockholders’ equity was $243 million, compared with $231 million at December 31, and we remained debt free.
 Let me briefly discuss a few items to consider for the second quarter and the remainder of 2012. Our effective tax rate this quarter was 36% which was in line with the estimate we provided on our last call. We expect that our effective tax rate will remain at approximately 36%.
 With respect to compensation and benefits, we expect to maintain a 34% compensation to revenue ratio. And finally we still expect G&A to increase by about 5% from 2011. The increase is primarily due to a higher level of business activity, including increased marketing efforts supporting the recent launch of our real asset open-end mutual fund. We expect the second quarter to include a higher proportion of the year-over-year increase.
 Now I’d like to turn it over to Bob Steers. 
Robert Hamilton Steers: Great. Thanks Matt and good morning everyone. As Matt indicated, the first quarter was very solid on almost all fronts and importantly strong interest in income and real asset strategies especially with retail investment is driving this growth.
 Before I get too deeply into the trends in distribution, let me comment briefly on our investment performance in the quarter. Not surprisingly with the wind to our back in the quarter, the U.S. international and global REIT strategies registered strong double digit absolute returns as did our large cap value portfolios. Also our global long short hedge fund posted a strong 9.2% net return to investors.
 Our relative returns in this period were somewhat more mixed with virtually all of our non-REIT strategies, large cap value, preferred securities and global infrastructure handily beating their benchmarks.
 Importantly for large cap value, this extends a strong rebound in relative performance to more than 12 months and 294 basis points of outperformance. However, while our U.S. REIT performance was roughly comparable to the benchmarks, our international and global REIT returns under performed in the quarter. Improving the relative returns in these 2 important strategies is as you would expect our highest priority.
 Turning to distribution, assets flows in our retail channel were the best since the first quarter of ‘07, while the trends for institutional flows were mixed, but all-in-all still very solid. During the quarter, 3 new institutional separate accounts totaling $360 million were funded.
 In addition, we ended the quarter with 5five accounts representing $683 million that have been awarded, but are yet to be funded. As Matt mentioned, four of these accounts were included in the prior quarter’s pipeline discussion.
 Although, we only lost one separate account, it was $392 million which largely offset the aforementioned new account activity. As Matt already disclosed, we sustained approximately $1.4 billion of sub-advisory outflows, but that said, it’s important to note that those outflows were more than offset by inflows into our model based strategies which continue to generate very strong growth.
 As we reported, retail sales ramped up in the quarter with growth in net sales at $1.7 billion and over $900 million respectively. U.S. REIT and preferred security strategies generated the highest net inflows, while global and international REITs experienced outflows. As I mentioned at the outset, retail demand for income and Real Asset strategies has been and remain strong.
 Finally, in January we announced the launch of our Real Assets mutual fund and emphasized the strategic importance of this unique and turnkey investment solution. Since then our internal teams have been busy rolling out our most comprehensive sales and marketing campaign ever. While it’s way too early to know how successful we’ll be, the fund is already available on most major distribution platforms and despite only a short track record it’s being considered for a number of proprietary research based programs. Our very strong sense is that this investment strategy and fund are right for the times and will be a strong and important contributor for our future growth.
 With that, I’d like to turn it back to the Operator and open it up for questions. 
Operator: Thank you. [Operator Instructions]. One moment please for the first question. Our first question will come from the line of Adam Beatty with Bank of America/Merrill Lynch. Please proceed with your question. 
Adam Beatty: Just a question on the fee rate trend, looks like maybe it ticked down little bit overall and Matt mentioned at the outset kind of a mix shift within sub-advised and some currency effects. Could you give us a little more detail on that? 
Matthew Stadler: Sure. Well, within the sub-advised what we’ve been - what we’ve seen in this quarter is that our higher fee offering which is global; we had lower billable assets in the global which is a higher fee paying strategy, because the net outflows partially offset by a little bit of appreciation. And U.S. REIT, which is lower fee paying, had higher average billable assets due to net inflows and market appreciation. So both the inflows and appreciation amplified the effect of higher billable assets in a lower fee paying strategy. So that is some time drag on the institutional side. And then, we all know that one of our most important institutional clients being Daiwa, when we record our fees, which are paid in yen, the spot rate of the yen versus the dollar, fee value versus the average rates, so when we report the fee income and an average rate, which generally accepted accounting principles tells, you have to do. It increases fee income with an offsetting debit in non-operating. So although it’s EPS neutral, it does tend to gross up the income statement. But I think essentially it is a mix issue related to what I just articulated. 
Adam Beatty: Got it. That makes sense. That’s very helpful. Thank you. Then a question on the international realty sub-advised flows, I mean, performances lagged as you mentioned, but definitely nothing like last summer when there were some significant challenges across the industry. And so - but it seems like flows maybe actually got a little bit worse and I might have expected a better, any commentary on that? Is this a question of retail maybe just lagging a little bit or what are you seeing there? 
Matthew Stadler: That’s a good question. It’s hard to say. We’re not really seeing - we’re seeing more muted demand for global and international. Now U.S. as a market, I think is investors are more comfortable investing in U.S. real estate based on the lower risk of financial issues such as you see in Europe and the volatility you’re seeing in Asia. So on a risk returned basis, investors seem to be opting more for U.S. than for non-U.S. real estate investing. And the returns I think have been pretty solid there. 
Robert Hamilton Steers: I think that’s my best guess, this is the trend of the industry as well it’s not just what we’re seeing across the industries. That’s the case. 
Adam Beatty: Okay. That’s helpful. Much appreciated. And lastly, thanks for taking all my questions. Just a clarification, earlier you mentioned with the connection or maybe a connection in the sub-advisory outflows and then inflows to the model based strategy, is any of that, sort of the same customers actually physically migrating or is it just two separate effects? 
Robert Hamilton Steers: It’s not the same customers. 
Matthew Stadler: Yes. 
Robert Hamilton Steers: Different customers, different accounts. 
Adam Beatty: Okay. 
Robert Hamilton Steers: As I have mentioned, we have mentioned before, lots of different accounts here. 
Adam Beatty: Okay. I just wanted to clarify that. Great. Thank you very much. I appreciate. That’s all I have. 
Operator: Our next question will come from the line of Mac Sykes with Gabelli & Company. Please proceed with your question. 
Macrae Sykes: I guess, if I asked the wrong question, we will get up. Some of you, I think you just mentioned that some of the recent real estate data out of China is been discouraging. Can you give us some general insight on your outlook for China and maybe some comment on the impacts maybe having on real estate investing in Asia region and also globally? And I just have one follow-up. 
Joseph Harvey: Sure. This is Joe Harvey. Generally, our view for China is a soft landing, as it relates to the real estate market, one of the most important segments of that is the residential real estate market. And it’s been the Central Governments policy for the past 2 years to cool inflation part what’s been driven by residential house price appreciation by putting in austerity measures to knock down housing prices. And that’s now become effective and you can see house prices going down and volumes going down. But that to us was yesterday’s news we believe that tightening has reached a peak and looking forward we see a bottoming in that segment of the market. So we’re relatively optimistic about the opportunities in China. 
Macrae Sykes: And then with your conversations with advisors, have there been any questions about portfolio positioning kind of potential exploration budgets, tax cuts at the end of 2012? And then secondly, what are the comparative benefits from redistributions versus traditional dividend income from equities in our higher unearned income tax environment? Thanks guys. 
Joseph Harvey: Well, I don’t think we’ve, I haven’t heard any feedback from our guys in the field regarding issues related to potential changes in tax code and REITs. I’m sure it’s on everyone’s mind, you can’t avoid it. With respect to REIT distributions, since REITs are flow-through vehicles, their dividends actually never did qualify for the 15% tax on corporate dividends. And as I think you know, REIT dividends have various different components to it; income, return of capital, capital gains. So ironically, any change in how dividends are taxed, that could occur next year, really would not have an effect on REIT dividend taxation. In fact, it would make REIT dividend, from a tax standpoint, relatively more attractive. 
Operator: At the present time, there are no future questions. I will turn the call back to everyone. Please continue with your presentation or closing remarks. 
Salvatore Rappa: Great. Well, thank you all for joining us this morning. And we look forward to talking to you after the second quarter. Thank you. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Have a great day, everyone.